Operator: Welcome to the MPLX Third Quarter 2024 Earnings Call. My name is Sheila, and I will be your operator for today's call. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Kristina Kazarian. Kristina, you may begin.
Kristina Kazarian: Good morning, and welcome to MPLX's Third Quarter 2024 Earnings Conference Call. The slides that accompany this call can be found on our website at mplx.com under the Investor tab. Joining me on the call today are Maryann Mannen, President and CEO; Kris Hagedorn, CFO; and other members of the executive team. We invite you to read the safe harbor statements and non-GAAP disclaimer on Slide 2. It's a reminder that we will be making forward-looking statements during the call and during the question-and-answer session that follows. Actual results may differ materially from what are expected today. Factors that could cause actual results to differ are included there as well as in our filings with the SEC. And with that, I'll turn it over to Maryann.
Maryann Mannen: Thanks, Kristina. Good morning, and thank you for joining our call. We have grown MPLX adjusted EBITDA by over 7% through the first 9 months of the year when compared to last year, which supported the decision to increase the distribution 12.5% this quarter. While delivering on our commitment to safely operate our assets, protect the health and safety of our employees and support the communities in which we operate, in the third quarter, MPLX generated record adjusted EBITDA of $1.7 billion, a 7% increase compared to last year's third quarter. Distributable cash flow was $1.4 billion, which supported the return of nearly $950 million to unitholders. We are committed to returning capital to unitholders primarily through a growing distribution, but also through unit buybacks. And our growing portfolio is expected to support this level of annual distribution increases in the future. Turning to the macro. The United States continues to be a low-cost producer of energy fuels needed across the globe, and the outlook for hydrocarbons remains robust. Grid electrification, onshoring, near-shoring and data center development are driving natural gas demand growth forecast through the end of the decade. As demand increases for natural gas-powered electricity, we are well positioned to support the development plans of our producer customers. Globally, demand for transportation fuels is expected to grow, outpacing near-term capacity additions. The U.S. refining industry is expected to remain structurally advantaged over the rest of the world, and we believe Marathon's refining assets are the most competitive in each region in which they operate. Our operations within these refining value chains will provide future growth opportunities. MPLX advanced its strategic growth objectives with capital spending expected at over $1 billion for the year. Anchored in the Permian and Marcellus basins, our integrated footprint positions the partnership with opportunities to grow our natural gas and NGL assets. Within our gathering and processing businesses, producer activity remains robust across the Marcellus, Utica and Permian Basins. We are bringing new gas processing plants online to meet increasing customer demand in the Permian and Marcellus basins. In the Northeast, drilling efficiencies and longer laterals are allowing producers to hold costs steady while growing production volumes. In the Utica, producers are targeting economically advantaged liquids-rich acreage. Our year-to-date processing volumes have increased 50% versus the prior year. Producers' interest in working with MPLX remains strong. As new wells are placed online, we are positioned for throughput to increase in the Utica with minimal capital spending. In the Marcellus, we are building the Harmon Creek III processing plant and adding fractionation capacity as we work with our customers to align capacity expansion with their drilling plans. This project further enhances MPLX's position as the largest processor of natural gas and fractionator of NGLs in the Northeast. Once online in the second half of 2026, MPLX is expected to have Northeast processing capacity of 8.1 billion cubic feet per day and fractionation capacity of 800,000 barrels a day. Demonstrating our commitment to operational excellence, our Bluestone plant recently became the first natural gas facility in the country to achieve the U.S. EPA's ENERGY STAR. This requires reducing energy intensity by 10% within 5 years, and I am proud to share our team achieved an intensity reduction at Bluestone of approximately 12% in just 24 months. This accomplishment demonstrates our approach to continuous improvements and will reduce operating costs at the processing plant. Moving to the Permian, the Preakness II processing plant began operations in July and we are constructing the Secretariat processing plant. MPLX processing capacity in the Delaware Basin in the Permian is expected to be 1.4 Bcf per day once Secretariat is online in the second half of 2025. In the L&S segment, strong production in the Permian continues to create opportunities to execute on our wellhead-to-water strategy across crude, natural gas and NGLs. In the third quarter, we closed the acquisition of additional interest in the BANGL pipeline, bringing our ownership interest to 45%. The expansion of this pipeline to 250,000 barrels a day is expected to be completed in the first quarter of 2025 as we progress the development of this strategic asset in our NGL value chain and wellhead-to-water strategy. Additionally, progress continues on the Blackcomb and Rio Bravo pipeline, which will connect Permian Basin supply to Gulf Coast domestic and export markets. Both pipelines are anticipated in service in the second half of 2026. The remainder of our capital plan is mostly comprised of smaller, higher-return investments targeted at expansion or debottlenecking of existing assets. For example, we have increased the size of our inland marine fleet to enhance product placement flexibility, expanded pipelines to serve regional demand growth and added storage to optimize crude blending for third parties. We have been able to execute our growth strategy using cash from operations, funding organic opportunities like the Preakness II, Secretariat and Harmon Creek II and III processing plants and inorganic growth opportunities like the Summit Utica acquisition and our acquisition of additional interest in the BANGL pipeline. We are confident in the potential of these growth opportunities to generate durable cash flow for MPLX supporting our commitment to return capital to unitholders. Now let me turn the call over to Kris to discuss our operational and financial results for the quarter.
Carl Hagedorn: Thanks, Maryann. Slide 6 outlines the third quarter operational and financial performance highlights for the Logistics and Storage segment. L&S segment adjusted EBITDA set a new record, increasing $66 million when compared to third quarter 2023. This was driven by higher rates and throughputs, including growth from equity affiliates, offset by higher associated operating expenses. Pipeline volumes were up year-over-year, primarily due to lower volume impact from refinery maintenance and higher throughputs on the West Coast. Terminal volumes were also up year-over-year, primarily due to higher throughputs on the West Coast. Moving to our Gathering and Processing segment highlights on Slide 7. The G&P segment also established a new record to adjusted EBITDA -- increase -- as adjusted EBITDA increased $52 million compared to the third quarter of 2023. This was driven by increased volumes, including contributions from recently acquired assets in the Utica and Permian Basins. Total gathered volumes were up 8% year-over-year, primarily due to increased production in the Marcellus and the addition of dry gas volumes from Utica assets acquired earlier this year. Processing volumes were up 9% year-over-year, primarily from higher volumes in the Utica, Southwest and the Marcellus. Our recently placed in service processing plants, Harmon Creek II and Preakness II continue to see increased volumes and are expected to reach capacity within the next 12 months. In the Utica, volumes have increased 43% year-over-year, highlighting the value producers are seeing in the liquids-rich acreage. Total fractionation volumes grew 4% year-over-year, primarily due to higher volumes processed and ethane recoveries in the Marcellus and Utica. Focusing on the Marcellus, by far, our largest basin of G&P operations, we saw year-over-year volume increases of 11% for gathering and 4% for processing, driven by production growth. Marcellus processing utilization was 92% in the quarter, reflecting the continued ramp of our Harmon Creek II processing plant. Our Gathering and Processing business continues to grow, and today, MPLX handles over 10% of all natural gas produced in the United States, having recently processed a new daily record of over 10 Bcf per day. Moving to our third quarter financial highlights on Slide 8. Total adjusted EBITDA of $1.7 billion and distributable cash flow of $1.4 billion increased 7% and 5%, respectively from the prior year. MPLX returned $873 million in distributions and $76 million in unit repurchases to its unitholders this quarter. As Maryann discussed, based on our confidence in the growth of the business, we increased the distribution by 12.5% to approximately $3.83 per unit annualized, while maintaining strong distribution coverage of 1.5x. MPLX ended the quarter with a cash balance of $2.4 billion. As a reminder, MPLX expects to retire $1.65 billion of senior notes maturing in December 2024 and February 2025. At the end of the quarter, our leverage was 3.4x. Now let me hand it back to Maryann for some final thoughts.
Maryann Mannen: Thanks, Kris. We have delivered over 6% adjusted EBITDA growth and just under 8% DCF growth on a 3-year compound annual basis. We are executing our strategy and advancing growth opportunities across our value chain. In the Permian, we continue to see growth opportunities in our natural gas, NGL and crude value chains. In the Marcellus and Utica, producer activity remains robust, supporting growth of our gathering, processing and fractionation footprint. Advancing these high-return growth projects position us to grow our cash flow. MPLX is a strategic investment for Marathon. And with the distribution increase, MPC now expects to receive nearly $2.5 billion annually from MPLX, illustrating the strategic value of MPLX within MPC's portfolio. And as both pursue growth opportunities, the value of this strategic relationship is further enhanced. The growth and durability of our cash flows combined with strong coverage and low leverage provides MPLX considerable financial flexibility, driving the decision to increase the distribution by 12.5% this quarter. Our commitment to operational excellence, our growth opportunities and our financial flexibility position us to support this level of annual distribution increase in the future. Now let me turn the call back over to Kristina.
Kristina Kazarian: Thanks, Maryann. As we open the call for questions, we ask that you limit yourself to one question plus a follow-up. We may reprompt for additional questions as time permits. With that, Sheila, we're ready for the questions.
Operator: [Operator Instructions] Our first question will come from John Mackay with Goldman Sachs.
John Mackay: I appreciate all the comments around the distribution increase. Just curious if you could frame up a little more what drove the increase this year for 12.5% versus 10% prior? And how should we think about the forward pace of distribution growth from here?
Maryann Mannen: John, thanks for the question. First, I'd say, look, the durability of our cash flows have really been the impetus for our decision to increase the distribution 12.5% versus the prior few years at 10%. We're executing our strategy. We're identifying and completing growth projects as we've talked about. We've announced a few of them here recently. I mentioned a few of them in my comments as well. We continue to reinvest in the business. And we're utilizing our portfolio of assets when you look at our capabilities in the Utica as an example. And then we think what we're trying to do here is really responsibly return capital to unitholders through this distribution and using share buyback appropriately as well. We think we've demonstrated over the last 3-year period distributable cash flows at just under 8%, EBITDA growth right in the range of 6%. We hope that you see our ability to continue to grow that. We've talked about our opportunities in the short term. We talked about our wellhead-to-water strategy. We've announced over the last couple of quarters, our commitment to build out our NGL and nat gas strategies as well. And so as we look out to the future, the strength of that mid-single-digit growth opportunity gives us the confidence to share that 12% distribution increase and give you some visibility for that into the future.
John Mackay: Appreciate that. And maybe just turning to the Marcellus. Yes, this is one of the larger projects you've announced up there in a while. Maybe if you can kind of just frame up what you're seeing from the broader opportunity set there? Obviously, the Utica has recovered nicely. It looks like this would be some kind of incremental growth on the Marcellus side. Curious on just is Harmon III a one-off, let's say, or could there be more in the future?
Maryann Mannen: Sure, John. As you know, one of the things we've been trying to convey is the advancing of the strategy, Permian, Marcellus and Utica. As I mentioned, we'll be completing the Secretariat gas processing plant. That was our seventh in the late 2025. And then Harmon Creek III, I think is another example of working with our producer customers to provide just-in-time. I'm going to pass this to Greg because I think he'll share with you a bit more as how he sees the opportunities unfolding in the Marcellus.
Gregory Floerke: John, we look at the Marcellus, it's 6 billion cubic feet a day of our 10 billion cubic feet total that we process every day. It's our largest area. You saw utilization up towards 95% before we brought Harmon Creek II online earlier this year. That plant continues to ramp, temporarily drop utilization down. But we're at high utilization there and a lot of it is just driven by longer laterals, flatter declines on the new wells. And it's the heart in terms of NGLs and rich gas productivity. We're in a sweet spot there. So we'll continue to work with our customers. We work with them regularly in terms of understanding their needs and their forecasts. And there may be opportunities incrementally to build out, but this is a big project for us and certainly will help drive that volume forward on our processing and gathering as well as liquid fractionation.
Operator: Next, we will hear from Jeremy Tonet with JPMorgan.
Jeremy Tonet: You listed a quite good list of organic growth initiatives. And so realize that's probably going to be front and center. But as it relates to future growth, I was just curious, I guess, on you've done some bolt-ons recently and how you see the opportunity set for this organic, as you said, or even some of these other bolt-ons out there. And at the same time, we've seen some of your peers make some larger M&A moves there. Just wondering how you think about balancing all of that right now?
Maryann Mannen: Yes, Jeremy, thanks. So here's what I would say with respect to our opportunity set. We continue to see organic growth opportunities that will allow us really to deliver mid-single-digit growth. We've shared a couple of smaller bolt-on JV types. As you know, those JVs are not part of our capital program. We've been spending about $1 billion a year, give or take, depending on how you look at that. Those opportunities to expand our JVs are not part of that capital program, and we'll continue to look for opportunities there. We did a recent one, as you know, first quarter of this year, Utica Summit bought out a JV partner, where we think provided us fairly quick EBITDA growth in a JV that we knew well. So we believe there are sufficient organic growth opportunities. We've been talking a bit about our wellhead-to-water strategy as well. That gives us some capabilities for the future. We've taken an incremental position in BANGL. You heard us talk about closing that as well. So our focus here is organic opportunities that will allow us to maintain that mid-single-digit growth that we are committing to.
Jeremy Tonet: Got it. That's helpful there. And then just wanted to kind of pivot a little bit towards, I guess, the L&G side or really Rio Bravo pipeline project more specifically in that joint venture. And now that the DC Circuit Court vacated FERC authorization, I guess how do you think about progression on this project steps forward at this point, given the -- this setback?
Maryann Mannen: Yes. So first of all, the project is moving forward on schedule, while all of that DC activity is happening. There's been a request for a rehearing filed at the DC Circuit Court. This is not necessarily abnormal in terms of activities that happen. So as of right now, I would tell you, project moving forward. We'll continue to update as the results of that rehearing come to fruition, and we'll provide you incremental activity around that as well.
Operator: Our next question will come from Manav Gupta with UBS.
Manav Gupta: In your opening comments, you mentioned that you do expect incremental demand for electricity driven by data centers and natural gas -- the role natural gas will play in it. Some of your peers have been more vocal about it. Can you help us understand multiple ways in which MPLX can win if suddenly -- by 2030, you do need to 5 to 6 Bcf incremental natural gas to support electricity generation in the U.S.?
Maryann Mannen: Manav, thank you. I would say this, we stand ready to support our producer, customers as that demand comes to fruition. We think we're uniquely positioned to supply given you heard us speak about the level of capability that we have in the region. You see the amount of gas that we're processing, technically it's about 10%. We're ready to support the development plans of our producer customers, and we'll continue to monitor the activity around data centers, et cetera, we stand ready. I'll pass it to Greg and see if he's got any incremental thoughts for you on that.
Gregory Floerke: I would say that I'd support what Maryann says, we're very well positioned in the Northeast. It's 70% of our total processing, and we also gather dry and lean gas there. So if you look at all of the molecules we touch, we're the largest player by far there, and I think we're very well positioned, whether initially, the data center demand is further downstream on the residue lines or whether eventually or could even be co-location of generation facilities and data centers closer to some of our facilities in the rich gas area. So we're excited about the opportunity. We'll be prepared to follow our customers there as required.
Manav Gupta: Quick follow-up here is, can we get an update on the Texas City frac and the storage project?
David Heppner: Manav, this is Dave. Yes, happy to give you an update there. And as we look at our NGL value chain, our wellhead water strategy, both from the G&P side through the long-haul pipes, the BANGL and all the way down to the Gulf Coast, we look at the Texas City frac and storage and terminal and dock as one of the options that we're evaluating to continue to build out that value chain. So that process is continuing. We want to make sure, as we do with any investments that is strict capital discipline, commercial flexibility and evaluating strategic alternatives. So as we continue that and have some more clarity, we'll update you when we can. So look forward to doing that in the future.
Operator: Next you will hear from Keith Stanley with Wolfe Research.
Keith Stanley: First, I just wanted to follow up on the commentary of continuing the 12.5% distribution growth in the future. Can you give any sense of what time period that comment would apply to or guidepost to look at for how long that's sustainable, whether it's coverage thresholds or leverage or anything else?
Maryann Mannen: Yes, Keith, sure. So as you know, and we've been trying to convey, we think we've got quite a bit of financial flexibility. One, as we look at the strength of our balance sheet, we look at our commitment around debt-to-EBITDA ratios. We've said we're comfortable in and about 4x, we're below that. But probably most importantly, as we think about the duration of that distribution increase, we're looking at the ability to continue those cash flow growth. So as I mentioned over the last 3 years, right, you've seen that distributable cash flow just under 8%. As we look at the projects that we are putting to work, I mentioned to a few of them that will grow our EBITDA '25, '26, we see a period of time where 12.5% is very doable. It's tough to give you an extremely long horizon. You know that as well as I do. But we certainly are trying to convey to you that, that distribution at 12.5% has the potential, notwithstanding all of the things that we talked about to be durable for a period of time.
Keith Stanley: Second question is just wanted to revisit the drop-down concept. So that Marathon's cash balance, if you take out the MPLX cash has come down a lot over the past year because buybacks have been obviously very robust. Should we think of the time line to consider drop-downs of MPC assets into MPLX is more driven by cash needs at Marathon for their capital return targets or is it more tied to MPLX needing acquisitions to help meet its growth targets?
Maryann Mannen: Yes, Keith, first of all, what I would say to you with respect to the way that we MPLX think about capital allocation, we maintain strict capital discipline. So when we are evaluating where to put capital to work, we do that through our lens of strict capital discipline. We need to be sure that when we're putting capital to work, that capital is generating the returns that you all expect. As it relates specifically to your question around drop-downs, one of the things that we've said is they are certainly not a priority. We'll continue to look at them. And when and if they make sense versus the other organic opportunities that we have to continue to grow the EBITDA of MPLX, we will employ them. You made a comment about MPC cash. And you're right. Certainly, we have seen that cash balance over the last several quarters as we've continued to meet our commitment of returning all cash that is not otherwise required via share buyback. And we continue to be committed to do that. But the growth opportunities for MPLX will follow strict capital discipline and we'll evaluate whether or not a drop-down versus another alternative putting capital to work yields the returns that you all expect.
Operator: Next, you will hear from Theresa Chen with Barclays.
Theresa Chen: As a follow-up to the Permian NGL question, in terms of the Texas City frac, should we think about timing related to that project as that it should be in tandem of when your [ TNF ] contracts come up for renewal since your long gathering, processing have more long-haul transportation and clearly short frac right now and maybe it doesn't make sense for that facility to come up prior. And then in the same vein of thought, would you likely bring export up at the same time so as to keep that molecule along your own wellhead-to-water value chain or would it be more of a step process?
Maryann Mannen: Theresa, thanks for your question. Let me try to start really with the wellhead-to-water strategy and try to give you some insight as to how we think about that. When we talk about our Texas City frac potential, we are really looking at a series of alternatives as we continue to progress around that strategy. Both the NGL and the nat gas wellhead-to-water approach really focuses on the integrated value chain strategies both for the -- in the Permian and they're a really important piece of what we are trying to accomplish in MPLX. So we are trying to maintain flexibility as we work through all of the opportunities that we see to complete that very important value chain and growth opportunity for MPLX. I'm going to ask Dave to give you a little more color as we're progressing through that strategy.
David Heppner: Thanks, Maryann. So Theresa, we throw around the word wellhead-to-water integrated value chain strategies quite a bit. So maybe if I step back and talk about how we think about it at MPLX. And as you would expect, it all starts -- the value chains all starts back at the wellhead. So as you've heard, we've incrementally grown processing capacity over the last few years to serve some of the best producer customers in the Permian Basin. And with Secretariat plant coming online, which I touched on earlier in the second half of 2025, we expect to have a total of 1.4 Bcf a day of natural gas processing capacity. While this is the first step in serving our customers and process the gas, the also very integral part of that is the ability to clear the resid gas and the NGLs out of the basin. That leads us into the second piece of that value chain, which is our investment in long-haul pipelines, which, of course, is the move of volumes out of the basin to the Gulf Coast markets. So for NGLs, as we touched on earlier, BANGL is the key strategic asset to do that. And in third quarter, we increased, as we touched on earlier, our stake in that. So we increased it 45%. And progress continues on the expansion of 250,000 barrels a day, which you expect to be in service in first quarter 2025, so not too far down the road. So with that, we're seeing strong volumes, and we're confident in the growth profile of that asset. So on the NGL side, we're feeling very well. And the nat gas side, our strategy is really anchored around our Whistler JV platform. So in addition to the Whistler main line, which has been in service for a while, last quarter, we announced the FID of Blackcomb, which is that additional 42-inch pipeline that will connect the Permian Basin to the Gulf Coast. The final stage is what you touched on in your comments of the wellhead-to-water strategy is really down at the water. And that's focused on connecting the volumes to our customers while creating optionality for our shippers. So on the nat gas side, some examples of that strategy that we've already put in service are the ADCC pipeline, which came in service in July of last year -- I'm sorry, this year, I apologize. And the Rio Grande (sic) [ Bravo ] pipeline, which we expect to be in service second half of 2026, and Maryann touched on that a little bit. And as we touched on earlier on the NGL side, as we look at our Texas City fracs, docks and terminals. We continue to evaluate those options to bring that last link of that value chain of the NGL. So hopefully, from both a nat gas and NGL perspective, you can see how over the recent past, we've been building out those strong value chains from the Permian Basin to the Gulf Coast and access to the water. So hopefully, that gives you additional color.
Theresa Chen: And turning to the West Coast, following Phillips' announced closure of its Southern California refinery later this year and into next year. I'm sure you will touch on the implications for MPC at your later call today. But for MPLX, does this change flows or utilization of your logistics assets either from a direct or indirect manner?
Shawn Lyon: Theresa, this is Shawn. I'll touch on your question there. Really, we don't see any near-term change out of the gate here. It's really -- we've got an integrated value chain all the way from water to the refinery and the logistics to get -- move it around the basin down there. So we don't see any near term there. And if you look at the demand and supply out there, it's all pretty tight out there. So we consider as we make those decisions and work with the refinery out there to make sure that we meet the supply that's needed in a timely manner, but don't see any near-term effect.
Operator: [Operator Instructions] Our next question comes from Michael Blum with Wells Fargo.
Michael Blum: I wanted to ask about Harmon Creek III. I noticed on the slide, you point to a 20% return there. So I'm wondering is that -- would you say -- is that like a higher return than normal? Or would you say that now on incremental investments, this is kind of a new hurdle rate?
Gregory Floerke: Michael, this is Greg. I would say we target that type of return rate on any of our new projects. We have strong relationships with our customers, strong contractual support when we make these incremental organic project decisions. So we feel strongly about the project, and we're excited about it.
Michael Blum: Great. And then I just wanted to ask about CapEx in 2025 and beyond. Obviously, you're laying out a lot of new high-return projects. Just wondering if that -- the cadence you've been on, which is roughly $1 billion to $1.1 billion of total CapEx. Is that still kind of the right kind of run rate? Or do you think that's going to trend higher over time?
Maryann Mannen: Michael, thanks for the question. You're right. Over the last few years, on average, we've been putting about $1 billion to work to grow the enterprise. As you continue to think about the size of EBITDA and what it would take for mid-single-digit growth beyond that, it's possible that our capital spend would need to increase above $1 billion in order to maintain mid-single-digit growth on a growing EBITDA. But we're a little early for 2025 yet. We'll give you good color as we head into the next earnings call. But certainly, when we see those organic opportunities, like the project you mentioned, Harmon Creek III. When you look at the return on that project, you look at the producer customer relationship, you look at our ability to have just in time and you look for that to continue to deliver the EBITDA growth that we're talking about, we think, again, maintaining strict capital discipline in putting that kind of capital to work will allow us to grow in mid-single-digit growth. But we'll give you greater insight into the amount of capital as we head into the '25 outlook. I hope that helps you, Michael.
Operator: Our next question comes from Neal Dingmann with Truist Securities.
Neal Dingmann: I've got my first question just on your Marcellus organic activity. Specifically, there was a number of public Appalachian E&Ps last week that just mentioned no surprise that they're going to defer a few more DUCs until things improve. And I'm just wondering with these type of minor adjustments, does this impact either existing or sort of your near-term future plans?
Gregory Floerke: Neal, this is Greg again. We don't see any current impact -- material impact on our volumes. The producers -- various producers, depending on whether it's lean gas or rich gas have different plans around -- and economics around their wells. So we don't see an issue there.
Neal Dingmann: Great. Great response. And then just a quick follow-up on your Marcellus as well. Just wondering specifically on the Marcellus processing, I'm just wondering, have you all seen from the continue -- it seems like there's been a continued ramp as MVP continues to go forward. I'm just wondering, have you seen this continuing to help boost your -- the Mobley processing plan of yours?
Gregory Floerke: Yes. I think that MPC -- excuse me, MVP is a boost for the entire region. Anything that provides more residue gas takeaway is a boost. I think the other thing that we see is that there's a higher proportion of rich gas well pads that come online versus the higher volume lean gas, which is a sweet spot of ours because processing and fractionation in the Northeast is our sweet spot. You actually see lower residue gas production versus lean. That opens up capacity as well out of the basin on existing lines other than MVP.
Operator: And our last question will come from Neel Mitra with Bank of America.
Indraneel Mitra: You've been very active in your downstream NGL operations, expanding and talking about the Texas City frac. Can you talk about how your producers use Sweeny as an alternative to Mont Belvieu and just how you see the logistics there and the opportunity to continue to grow with fractionation and possibly an export facility?
Gregory Floerke: This is Greg. In terms of our producer customers, we started on that end when we built our first plant Southwest with solid customers and they've continued to rely on us to find outlets for them for the residue gas and for their NGLs. And we've continued to do that. And incrementally, as we've grown that capacity, we've used various options. Obviously, we'd like to have as much optionality as possible. So to get into -- down into the Galveston, the Houston area and have access to Belvieu and some of the storage there is just is going to provide that much more optionality and opportunity for our customers. So we continue to focus on all of the above.
Indraneel Mitra: Okay. Perfect. And you've been very active in a short period of time in building out NGL and gas infrastructure. I was curious how you viewed crude infrastructure whether that be a drop down longer term from MPC with Gray Oak or LOOP or possibly a JV just with crude pipelines in the Permian. I wanted to understand how you view that business now that you have natural gas and NGLs?
Maryann Mannen: Yes, Neel, thanks. It's Maryann. Just first and foremost, when we think about drop-downs, I think you were asking sort of how we think about that. We continue to believe that our growth opportunities organically have the opportunity to support our mid-single-digit growth. So they remain largely a lower priority than the other projects that we've got and are evaluating. But I'll pass it to Dave and let him give you some of the specifics that you're asking for.
David Heppner: Neel, yes, you touched on -- we spent a lot of time talking about our nat gas and NGL value chains, and we don't want to forget about our crude value chains. And we have a pretty sizable platform in the Permian for crude gathering and blending benefits up there. And so -- and as you've seen in the space, there's been a lot of activity in the recent past on the M&A side of the equation. So very similar, we touched on earlier, we continue to look at opportunities to grow out that platform very similar to how we've grown out the nat gas and NGL. Sometimes is buying out JV partners, very low risk, but because we know the assets very well. Sometimes it's maybe buying single bolt-on assets and sometimes it may be looking at maybe a little more sizable M&A opportunity. So a lot of activity in that space. We continue to look at them, and I appreciate you bringing that up because we don't want to forget about the third leg of our value chain is the crude side of the equation. So I appreciate that.
Operator: We are showing no further questions at this time.
Kristina Kazarian: Perfect. Well, thank you all for joining us today and for your interest in MPLX. Should you have any additional questions or like clarification on any of the topics discussed this morning, members of the IR team will be available today to help with your calls.
Operator: That does conclude today's conference. Thank you for participating. You may disconnect at this time.